Operator: Good day, and thank you for standing by. Welcome to the Prestige Consumer Healthcare’s Fourth Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Phil Terpolilli, Vice President, Investor Relations and Treasury. Please go ahead.
Phil Terpolilli: Thanks, operator, and thank you to everyone who has joined today. On the call with me are Ron Lombardi, our Chairman, President and CEO; and Christine Sacco, our CFO and COO. On today’s call, we’ll review our full year fiscal 2025 results, discuss our full year outlook and then take questions from analysts. A slide presentation accompanies today’s call, it can be accessed by visiting prestigeconsumerhealthcare.com, clicking on the Investors link and then on today’s webcast and presentation. Remember, some of the information contained in the presentation today includes non-GAAP financial measures. Reconciliations to the nearest GAAP financial measures are included in our earnings release and slide presentation. On today’s call, management will make forward-looking statements around risks and uncertainties that are detailed in a complete Safe Harbor disclosure on Page 2 of the slide presentation, which accompanies the call. These are important to review and contemplate. Business environment uncertainty remains heightened due to evolving U.S. and international tariffs, supply chain constraints and inflation, which have numerous potential impacts. This means results could change at any time, and the forecasted impact of risk considerations is the best estimate based on the information available as of today’s date. Additional information concerning risk factors and cautionary statements are available in our most recent SEC filings and our most recent company 10-K. I’ll now hand it over to our CEO, Ron Lombardi. Ron?
Ron Lombardi: Thanks, Phil. Let’s begin on Slide 5. We are very pleased with our record fiscal 2025 results, which delivered a year of solid revenue and earnings growth, thanks to our diversified portfolio of brands and proven business attributes. Net revenue of over $1.1 billion increased just over 1% versus the prior year, consistent with our forecast. Our International segment growth continues to deliver growth in excess of 5%, while in North America, many of our GI brands, such as Dramamine and Fleet, continue to experience superior results. We’ve also continued to see stabilization for the Summer’s Eve brand within the women’s health category, which was a key priority we discussed at the start of the year. For profitability, we expanded gross margin slightly anticipate further expansion in fiscal 2026, which Chris will discuss later. This helped generate solid adjusted EPS of $4.52, up approximately 7%, consistent to our long-term growth objective. We continue to execute a steady and disciplined capital allocation strategy using our strong fiscal 2025 free cash flow, which was in excess of $240 million to finish the year at 2.4 times leverage while still executing value-enhancing capital deployment. Chris will review our go-forward capital allocation priorities later. Now with that, let’s turn to the next section for a reminder of a few of the ways our unique business strategy looks to generate consistent long-term performance. To begin, Slide 7 is a reminder of our marketing agility. One of the benefits of having a wide-ranging portfolio of brands is the ability to adjust our brand-building strategy and allocations in real time, focusing investments around the best near-term opportunities wherever they arise. In fiscal 2025, we faced supply challenges for Clear Eyes, which we discussed last May. We worked quickly to refocus marketing efforts around the rest of our eye and ear care portfolio, TheraTears, Debrox and Stye, each of which had unique opportunities available to invest behind. For TheraTears, we leveraged its well-recognized heritage as a dry eye solution in multiple ways to generate solid growth of approximately 10%. For Stye and Debrox, two brands synonymous with their categories, a combination of innovation and accelerated marketing investments helped add incremental growth. This result was clear. As shown on the left of the slide, these three brands outperformed their combined category growth by over 3 percentage points and are well-positioned for continued growth. This agility and investments is a unique strength of our business, and we will continuously look to pivot into the best marketing opportunities that drive superior revenue growth. Now let’s turn to Slide 8 to discuss the e-commerce channel. Beyond executing successful marketing, we are focused on aligning our investments into channels that are important to consumers. We continue to see consumers shift channels, most prominently towards e-commerce, where our long-term investments have enabled continued success. Even with robust growth over the last five years, we continue to maintain a consistent double-digit sales growth profile. For fiscal 2025, we experienced solid consumption growth with strong performance across our key partners, thanks to multiple tactics and solid retail partnerships. Each of our individual brands develops and maintains its own e-commerce strategy, including continuous improvements to the user experience to help retain loyal consumers. For example, our recent refresh of the Stye website helps consumers educate themselves around stye symptoms and relief options. Equally important is engaging content that can help drive traffic and conversion of new users. We’ve had wide-ranging success across our portfolio with some examples shown on the right side of the page. So we reviewed both marketing and channel opportunities. Now let’s turn to Slide 9 to discuss innovation. Innovation continues to be a key part of Prestige’s brand-building toolkit. We operate with a multi-year pipeline of new product development concepts to ensure we generate new SKUs that match the needs of consumers. As shown on the page, the tactical elements to success for the various products launched in fiscal 2026 are wide-ranging. Most importantly, all of our innovation seeks to provide better consumer experiences. Each is designed to satisfy key consumer interests like launching a new flavor, adding of an efficacious ingredient or a new claim. Some of the latest product highlights these attributes include the recent launch of watermelon and pineapple flavors for Hydralyte as well as the Monistat maintain kit, which contains boric acid in two formats and an all-in-one odor solution, designed for pH balance while addressing odor and discharge. Incrementally, some innovations often seek to build on improving consumer experience through new technologies or form factors. An example of this we’ve discussed in the past was the launch of Compound W NitroFreeze, a wart treatment solution with extreme freezing technology not available in other OTC treatments. For fiscal 2026, we have numerous new form factors across multiple products, including the launch of Summer’s Eve Whole Body Deodorant and the recent launch of Fleet’s oral Stool Softener. Lastly, many of our product launches help expand our brands into adjacent categories, leveraging their history of efficacy and strong brand heritage with consumers. One recent example is Goody’s PLUS Headache Pain and Mental Alertness, which takes Goody’s proven history of fast pain relief, combined with added caffeine to help consumers get back to the things they enjoy faster. So in summary, we have a long history of innovation, another great year planned for 2026 and a continuous new product pipeline that should help drive consistent organic sales growth over time. With that, I’ll turn it to Chris to discuss the financials.
Christine Sacco: Thanks, Ron. Good morning, everyone. Let’s turn to Slide 11 and review our fourth quarter and full year fiscal 2025 results. As a reminder, the information in today’s presentation includes certain non-GAAP information that is reconciled to the closest GAAP measure in our earnings release. Please note, I’ll also be discussing our initial fiscal 2026 outlook in greater detail by line item. This is also available in summary form in the appendix of today’s slide presentation. Q4 was particularly strong and above our outlook, featuring record quarterly revenue and adjusted EBITDA and EPS. Q4 revenue of $296.5 million, increased 7% or 7.9% excluding FX versus the prior year. In the North America segment, we experienced broad-based growth, which included nice growth in both the women’s health and GI categories led by Summer’s Eve, Dramamine and Fleet. International segment sales grew 7.1%, excluding FX, driven by Hydralyte. Adjusted EBITDA margin grew noticeably versus the prior year, both from the timing of certain marketing spend as well as a favorable prior year comparison of supply chain challenges. Adjusted diluted EPS of $1.32 was a quarterly record, up sharply versus $1.02 in the prior year, thanks to a combination of factors, including the favorable revenue comparison, gross margin expansion and lower interest expense. Let’s turn to Slide 12 for detail around consolidated results. For fiscal 2025, revenues increased 120 basis points organically versus the prior year. Excluding FX, North America and International segment revenues increased 30 basis points and 6.4%, respectively, versus the prior year. Our International segment experienced solid growth in excess of 5%, thanks to strong performance in Australia, including the Hydralyte brand, which continues to grow household penetration and overall usage. In North America, we were pleased with continued strong broad-based growth in the GI category, which helped offset declines from challenged cough and cold sales and the anticipated gradual supply recovery for Clear Eyes, which we anticipate will continue in fiscal 2026. For Summer’s Eve, we experienced the second quarter in a row of year-over-year sales growth in Q4, thanks to the brand’s refreshed marketing and innovation strategies. E-commerce remains a highlight in our fastest-growing channel, up double digits once again in fiscal 2025 and now representing high teens as a percentage of sales. E-commerce channel shipment growth accelerated in Q4, outpacing consumption, which we believe was in anticipation of certain tariff actions. Our outlook assumes this order timing resulted in an approximate $7 million benefit to Q4, which will come out of Q1. Total company gross margin of 55.8% for fiscal 2025 was up 30 basis points versus the prior year, including material improvement in Q4 to approximately 57%. For both fiscal 2026 and for Q1, we anticipate gross margin of approximately 56.5%, driven primarily by cost-saving measures. Please note, this gross margin forecast includes approximately $15 million in estimated tariff costs, which is about $20 million on an annualized basis. Ron will discuss the tariff and macro backdrop in more detail later, but we have confidence that our needs-based consumer healthcare brands and their leading market shares leave us well positioned. Advertising and marketing was 13.7% as a percentage of sales for fiscal 2025, up in dollars. For fiscal 2026, we expect A&M of approximately 14% of sales, both for fiscal 2026 and Q1. This higher percentage is enabled through reinvestment of forecasted gross margin expansion, consistent with our long-term strategy. G&A expenses were 9.5% of sales in fiscal 2025 as anticipated. We’d anticipate a slight increase in G&A on a percentage basis in fiscal 2026. For Q1, G&A in dollars should be consistent with the prior year. Finally, adjusted EPS of $4.52 compared to $4.21 in the prior year, driven by revenue growth and lower interest expense. Thanks to our debt reduction efforts, we anticipate interest expense of approximately $39 million in fiscal 2026. Our full year normalized tax rate of 23.7% was consistent with our long-term expectations, and we anticipate a similar tax rate of approximately 24% again in fiscal 2026. Finally, I’d like to point out these results are adjusted to exclude certain noncash nonstrategic trade name impairments, which are discussed in further detail in our press release. Now let’s turn to Slide 13 and discuss cash flow. For fiscal 2025, we generated $243 million in free cash flow, up approximately 2% versus the prior year. As shown on the left side of the slide, this performance is another example of our steady long-term free cash flow generation, thanks to our unique business attributes, which continue to enable further net leverage reduction while still leaving capital available for other priorities. In the fiscal year, we reduced our variable term loan debt balance to zero, repurchased over $50 million in shares and built some cash on the balance sheet in advance of future M&A opportunities. With this balanced approach, we achieved a covenant-defined leverage ratio of 2.4 times at the end of March. Looking ahead, we anticipate a continuation of our disciplined but flexible capital allocation strategy. Let’s review those priorities on Slide 14. Our improved leverage ratio, robust free cash flow and consistent business performance gives us strategic flexibility with our capital deployment moving forward. We still anticipate approximately $1 billion of free cash flow over the next four years, which is after the important long-term marketing investments we continue to make in our strategic brands. We remain committed to our waterfall of priorities shown on the page that add value for our shareholders. First, we’ll continue to evaluate M&A as part of a disciplined capital deployment strategy. We continue to see OTC fragmentation as an opportunity to acquire future brands and portfolios. Next, we anticipate additional share repurchases under our multiyear share repurchase authorization to offset dilution and return capital to shareholders. Last, we anticipate building further cash on the balance sheet in fiscal 2026 to enhance flexibility around the priorities above. As a reminder, the remainder of our unsecured debt is fixed at attractive rates with maturities in 2028 and 2031. So further debt reduction is less attractive from here. So in summary, we have both a healthy leverage position and steady free cash flow profile, which is highly beneficial to enabling disciplined value-added capital allocation. With that, I’ll turn it back to Ron.
Ron Lombardi: Thanks, Chris. Let’s turn to Slide 16 to discuss the current environment. As we begin fiscal 2026, market conditions remain fast-changing and hard to predict. To start, as everyone is well aware, tariff volatility and uncertainty continues to be complex for businesses to navigate. The potential impacts are broad, including both the direct cost of a finished good being tariffed as well as the wider inflationary impact. These risks are reducing consumer optimism broadly where consumers are actively reviewing their spending decisions. Fortunately, we believe our unique business model leaves us well positioned to help navigate this challenging environment. Many of these attributes were proven to be beneficial during COVID. To start, we have a wide-ranging portfolio of needs-based products. We have approximately 20 strategic brands across seven distinct product categories, each of which is broadly distributed. This allows us to be available with a product that is important to maintaining our consumers’ health regardless of economic conditions. Second, we have a diverse and predominantly domestic supplier base that is a strategic advantage. Approximately 80% of our direct domestic cost of goods comes from local manufacturing from numerous suppliers, and we have a modest exposure to high tariffed countries. We also have many products produced elsewhere in North America that are currently exempt from tariffs under USMCA. Third, we are moving with urgency to identify cost savings levers across our supply chain to help mitigate any near-term tariff impacts and resulting long-term inflation. Lastly, with a portfolio of leading brands, we are well positioned to take surgical pricing as necessary. So in summary, our broad portfolio of needs-based brands, diverse and mostly domestic supply base and a focus around cost savings leaves us well positioned to navigate the current environment. With that, let’s turn to Slide 17 for our initial outlook that reflects this backdrop. Even with this fluid macro environment, thanks to our proven business strategy, we achieved a consistent revenue performance in fiscal 2025 and believe we are on track to do so again in fiscal 2026. For fiscal 2026, we anticipate revenues of $1.140 billion to $1.155 billion with an FX headwind expected of about a point. This includes an organic revenue growth forecast of approximately 1% to 2% versus the prior year. For Q1, revenues are anticipated of $258 million to $260 million, down versus the prior year, largely reflecting the timing of Q4 e-commerce orders, which Chris discussed earlier, as well as the timing of expected eye care deliveries between Q1 and Q2. We anticipate diluted EPS of approximately $4.70 to $4.82 for the full year or about 4% to 7% EPS growth. This is thanks to higher expected sales, gross margin expansion and lower interest. We expect first quarter EPS between $0.98 and $1. These profitability assumptions include what we know about the tariff environment as of today. We currently anticipate tariff impacts of approximately $15 million for fiscal 2026. Even with these projected impacts, we are still forecasting gross margin expansion to about 56.5%, thanks to our strategic cost savings efforts and tactical pricing we’ve been executing for some time. Lastly, we anticipate free cash flow of $245 million or more, thanks to our strong financial profile. A stable free cash flow will continue to enable multiple capital deployment priorities that will drive upside and maximize shareholder value. With that, I’ll open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from Rupesh Parikh of Oppenheimer. Your line is open.
Rupesh Parikh: Good morning, and thanks for taking the question. So I just want to go back to your organic sales growth guide of 1% to 2%. So it sounds like maybe there’s a 0.5 point or so headwind just really to that shift in timing of – or I guess, the pull forward to Q4 versus Q1. But just anything else that drives it below your 2% to 3% longer-term algorithm?
Christine Sacco: Hey, good morning. Rupesh, this is Chris. So a couple of things to contemplate in our initial guide, which is a bit wider than it had been in prior year, right? First, given the macro environment that Ron touched on a little earlier, just as you’re hearing from just about every company in every industry, there’s heightened volatility and uncertainty today. To your point, we did talk about in the prepared remarks, the timing of certain e-commerce orders. We highlighted those as about $7 million, which we believe was pulled forward. And FX remains difficult to predict. We saw some highly unusual swings in two of our major exposures, primarily the Australian dollar and the Canadian dollar. So overall, we think we’re being prudent in our guide given the current environment.
Rupesh Parikh: Okay. So it sounds like just more consumption, just more conservatism versus any weakening you’re seeing in your business, I guess, quarter-to-date. Is that the right way to think about that?
Christine Sacco: That’s a fair way to think about it, yes.
Rupesh Parikh: Okay. Okay. Great. And then second on Clear Eyes, just the latest in terms of how you think about the recovery for Clear Eyes. Do you guys expect to get back to maybe normal this year from, I guess, in-stocks at retailers and just where you’d like to be with the business?
Ron Lombardi: Good morning, Rupesh. So for starters, there’s really no change in the Clear Eyes supply chain plan that we began to talk about, about a year ago, where we’re looking to expand capacity at the existing suppliers and bring on two new suppliers in fiscal 2026. Like we saw in fiscal 2025, the quarterly shipment results can be lumpy. We anticipate them being a bit lumpy as the current suppliers take production down to do upgrades and expand capacity. And we work with them to manage that so that we have the best managed timing from quarter-to-quarter. In addition to that, we would expect that the second half of the year we will begin to see the bigger recovery year-over-year and just in absolute dollars versus the first half as that added capacity and the new suppliers come online.
Rupesh Parikh: Okay, great. Thank you. I’ll pass it along.
Ron Lombardi: Thanks, Rupesh.
Operator: Thank you. And our next question comes from Susan Anderson of Canaccord. Your line is open.
Susan Anderson: Hi, good morning. Thanks for taking my questions. Nice job on the quarter and ending the year. I guess, maybe just a follow-up on the women’s health category. Definitely saw some nice growth in the fourth quarter. I guess, how are you feeling about both brands, Summer’s Eve and Monistat heading into this year? And then do you feel like the brands are in a good position to grow? And do you plan any new innovation as well for this year? Thanks.
Ron Lombardi: Good morning, Susan. So women’s health and Summer’s Eve in particular, we feel really good about the progress that the brand made during fiscal 2025. Each quarter, the brand improved quarter-to-quarter, and we actually were able to grow enough in the second half of fiscal 2025 to get Summer’s Eve to a full year level of growth year-over-year, even with starting off with a pretty big decline in the first quarter. So we feel really good about the results of our efforts focused on redoing our marketing messaging and our marketing communication tools. The new products that we launched in fiscal 2025, the ultimate odor protection in both wash spray and wipes forms has been the best launch for Summer’s Eve in a really long time. And then we’ve got a number of other products that I touched upon in our comments today, including whole body deodorant, amongst others that we feel really good about as we head into 2026. So all in all, we expect that our women’s health franchises will get back to a position of being able to grow over the long-term.
Susan Anderson: Okay. Great. That sounds good. And then maybe if I could just ask about cold/cough, it’s down for this year. Obviously, it wasn’t a great year going into fiscal year 2026. I guess, how is your inventory there? Do you feel like there will be some restocking just given that late surge we had in the cold/cough season? Thanks.
Ron Lombardi: Yes. So going into fiscal 2025, our outlook for cough/cold shipments of our products was that we thought will be flat in 2025 to 2024. And we actually ended up being down a bit. But thanks to the benefit of a diverse portfolio, it didn’t impact our results at all for the year. But we thought we’d be flat in 2025, we ended up being down. And our outlook for 2026 is that 2026, our shipments again will be flat to 2025’s level. Hard to predict what cough/cold incident levels will be, what the retailers will do for inventory management, what’s in the shelf in the bathrooms of our consumers at home. So we’re starting off with that forecast as we head into 2026.
Susan Anderson: Okay. Great. And then if I could just add one more. So with your leverage down to 2.4, another year of strong free cash flow and then looking in continued strong cash flow for this year. I guess, how are you thinking about your capital allocation strategy? Are you seeing any attractive assets out there that you could potentially add to your portfolio? Thanks.
Christine Sacco: Susan, it’s Chris. So to your point, at 2.4 times leverage, we feel well positioned to demonstrate multiple uses of our capital, just as we did in fiscal 2025, right? We did about $50 million in repurchases this year. We paid off our term loan, which was $135 million during the year. We’ve built about $50 million of cash on the balance sheet. And so I think the story for 2026 is going to be a balanced approach, right? Obviously, our preference is M&A. We continue to see a lot of things out there given the fragmentation of the industry. And I think you’ll see a balanced approach in us doing some share repurchases, but also building some cash on the balance sheet because we want to be well positioned when something that fits our criteria is actionable.
Susan Anderson: Thanks so much. Good luck the rest of the year.
Christine Sacco: Thanks, Susan.
Operator: Thank you. Our next question comes from Keith Devas of Jefferies. Your line is open.
Keith Devas: Hey, good morning. Thanks for the question. I wanted to just drill down a little bit on the consumer uncertainty. It doesn’t sound like it’s impacting your business that kind of makes sense given your portfolio. But I’m curious how you might look to evolve your innovation or marketing plans as the year progresses just as some of this consumer uncertainty persists. It could also be a time where the consumer is a little less receptive to marketing or innovation as well. Curious how you guys might look to adapt or evolve even if it’s prioritizing different channels if the uncertainty persists through the year? Thank you.
Ron Lombardi: Good morning, Keith. So what we’ve seen in the past during challenging economic times or fluid times is that needs-based categories tend to be the last place that consumers look to make a change. They stick with their trusted brands that’s worked for them. So what we have seen though over time is that where consumers choose to purchase the product will evolve, and we’ve started to see that in fiscal 2025. So they may look for the best value proposition. Whether it’s price or a different price point offering. And with our broad distribution and our varied product offerings within our brand, we’re well suited to meet whatever the consumer might be looking for. So we’ll look to see where the consumer is evolving to, and we’ll realign our investments to better support or best support where the consumer is looking for the products and that proposition that best fits their need at that moment. So I think I commented on this today in the prepared remarks. I think one of the things that we do well here is pivot quickly and change to meet a dynamic evolving environment. We saw that in 2025 when we pivoted and made changes to eye care investment as we dealt with Clear Eyes supply and took advantage of TheraTears, Debrox and Stye opportunities. So we’ll continue to be fluid and work best to meet where the consumer ends up this year.
Operator: Thank you. And our next question comes from Glenn West of William Blair. Your line is open.
Glenn West: Hi, everyone. This is Glenn West stepping in for Jon Andersen. I was hoping to ask about the hot topic of tariffs. You guys obviously called out the $15 million headwind. I assume that’s kind of taking into account that the current tariff environment stays as it is for the full year, obviously. And then you talked about being able to offset it with cost savings levers. I was wondering if you guys could give us a little more color what levers you have there? And then you also mentioned maybe the ability to take surgical pricing. I’m wondering if that’s kind of just, hey, if there’s anything left over that we can’t mitigate with our levers, we’ll obviously offset dollar for dollar with extra pricing. So maybe just overall color on your plans there.
Christine Sacco: Hey, good morning, Glenn. This is Chris. So you’re correct in your assumption. We are assuming in our guide that all tariffs that are in place or scheduled to be in place as of today. Ron mentioned in the prepared remarks, the USMCA exemptions, the elevated Chinese tariff rate, global baseline and reciprocal. I would just point out that reciprocal tariffs aren’t very meaningful to us and have been factored in our guide, but just given our limited exposure to that. And we’re working closely with all of our suppliers to identify and close exposures that can result in savings for fiscal 2026 and beyond. You asked about levers. When we have dual sourcing or alternative sourcing even for APIs for some of our co-packers, everything is on the table, we’re looking and working closely with our external partners to mitigate the cost, and that will obviously be our – where we go first. But to your point, we do anticipate taking some surgical pricing if need be, but our efforts are going to start with cost savings.
Glenn West: Okay. That’s helpful. And then if I could sneak in one more just on the e-commerce channel, up to a high percentage, high-teens of sales at this point. Is that still like really mainly North America? Or how is the rollout kind of going internationally? Is e-commerce picking up internationally at all, so?
Ron Lombardi: Yes. So Glenn, this is Ron. The e-commerce is still largely U.S.-centric. We don’t see the growth in online purchases in the other countries where we are doing business. So in the UK and Australia and even in Canada, e-commerce just hasn’t grown to the extent that it has in the U.S. It doesn’t mean that we’re not looking for opportunities and working with our retail partners in those regions to help them invest and grow those channels. But for now, it’s very much U.S.-centric.
Glenn West: Okay. Thank you, guys very much for the time. I’ll hop back into queue.
Ron Lombardi: Thanks.
Operator: Thank you. [Operator Instructions] And our next question comes from Anthony Lebiedzinski of Sidoti & Company. Your line is open.
Anthony Lebiedzinski: Hey, good morning, everyone, and thank you for taking the questions, and certainly nice results for 4Q. Just wondering, so obviously, as you pointed out, the vast majority of your products are sourced in the U.S. or North America. Just wondering if there are any opportunities that you think that for those that are sourced outside of the U.S., are there any domestic suppliers that are out there? Or do you think you’re kind of tapped out with that?
Christine Sacco: Yes. We’re certainly looking where we can. I would say, obviously, the most meaningful impact, about half of our tariffs is relating to China, limited exposure, but just given the magnitude of the rate, and we’ll look to see if there are other countries even outside of the U.S., obviously, that don’t have the same impact as the impact China is having. But again, for us, I think it’s a little bit similar to COVID, where for tariffs for us at about $15 million this year, we feel is manageable. We’ll look to offset it with a lot of levers of cost savings and given the brand’s positioning, surgical pricing if necessary.
Anthony Lebiedzinski: Got you. Great. And then you’ve talked about innovation. It’s not the first time, but I’m just wondering, as you look towards this year, are you – as far as like the number of products that you’re looking to launch, is that comparable to past years? Or do you guys target a specific percentage of sales that you want to come from new products? Just wondering how you think about that? And what’s the margin profile for the new products that you’re looking to rollout?
Ron Lombardi: Yes. So – good morning, Anthony. So the first part of it is, we tend to see a fairly steady impact from new products each year. We don’t target a certain percentage of sales to come out of new products and innovation each year. We just look to have great ideas that our teams work on over a long period of time. It can take two or three years to launch new products or bring new innovation to the OTC market. So it’s something that has to be a focus over the long-term for us to be successful over time.
Christine Sacco: Yes. Anthony, this is Chris. Just to piggyback on Ron. From a margin perspective, we have an edict that all of our innovation needs to be margin accretive to the brand, right? When we don’t have – we don’t take price if we don’t have associated cost impacts. And so the way to march our margin forward continually is usually through this innovation.
Anthony Lebiedzinski: Got it. Well, thank you very much and best of luck.
Ron Lombardi: Thanks.
Operator: Thank you. And our next question comes from Doug Lane of Water Tower Research. Your line is open.
Doug Lane: Yes. Hi, thanks, and good morning, everybody. Just one thing. I noticed that the Opella deal closed this week, and that’s a big transaction. And I just wondered if that impacts you either competitively or perhaps it could it be an M&A catalyst for you?
Ron Lombardi: Yes. Good morning, Doug. So I guess Opella is the next in line of the spinouts of the big pharma. So we’ve been through this a little bit before. It really doesn’t do anything to change the competitive landscape of where we’re focused or the competitors in those space. And over time, we’ve seen the big pharma spinouts potentially be opportunities for brands that may come to market. So it’s more of the same with the latest spinout for us.
Doug Lane: Okay. Thank you. That’s helpful, Ron.
Ron Lombardi: Okay.
Operator: Thank you. I show no further questions at this time. I’d like to turn it back to Ron Lombardi for closing remarks.
Ron Lombardi: Thanks, operator. And again, thanks to everyone for taking the time to join us today. As we’ve discussed throughout this call, the current environment is fluid, but we believe our unique business attributes and strategy has us well-positioned to navigate the upcoming year successfully. So thanks again for joining us, and have a great day.
Operator: This concludes today’s conference call. Thank you for participating, and you may now disconnect.